Operator: Hello, and welcome to Epizyme's Conference Call. At this time, all participants are in a listen-only mode. There will be a question-and-answer session after the prepared remarks. Please be advised that this call is being recorded at Epizyme's request. I would now like to turn the call over to Alicia Davis. You may begin.
Alicia Davis: Thank you and good morning. This morning, we issued a press release, outlining recent progress in our second quarter 2020 financial results, which can be found at epizyme.com. On the call with me is Rob Bazemore, CEO; Matt Ros, Chief Strategy and Business Officer; and Paolo Tombesi, Chief Financial Officer. Dr. Shefali Agarwal, Chief Medical Officer will join us for the Q&A session. Today's discussion will include forward-looking statements related to Epizyme's current plans and expectations, which are subject to certain risks and uncertainties. Actual results may differ materially due to various important factors including those described in the Risk Factors section of our most recent Forms 10-Q, 10-K, and other SEC filings. These forward-looking statements represent our views as of the call and should not be relied upon as representing our views as of any subsequent date. We undertake no obligation to publicly update these statements. Now, let me turn the call over to Rob. Rob?
Rob Bazemore: Thank you, Alicia, and thank you all for joining us today. 2020 has been a landmark year for Epizyme, now an established commercial enterprise; marketing TAZVERIK in the United States as a standalone company for both solid tumor and haematological cancer indications. Just six months into the year, we had delivered on the number of core objectives and complex milestones to bring the first EZH2 inhibitor to the market. With back-to-back FDA approvals for TAZVERIK, we recognized the special place we stand in our industry; the opportunity to provide patients and physicians with a generally well tolerated and effective treatment for diseases where new options were needed is directly in line with our mission as the company. TAZVERIK is approved in the U.S. for the treatment of patients with metastatic or locally advanced epithelioid sarcoma and for patients with relapsed or refractory follicular lymphoma, irrespective of their EZH2 mutational status. ES is a rare and aggressive solid tumor cancer with a high mortality rate that has no FDA indicated treatments prior to TAZVERIK's approval. FL is also an incurable cancer today with the high rate of relapsed, frequently causing patients to progress through many lines of treatment over the course of their disease. TAZVERIK is performing well in the market. While launching amidst COVID-19 is less than ideal, the initiatives that we put in place for ES have proven very helpful as we launch TAZVERIK in FL. The commercial progress made is demonstrated by not just the sales we've achieved in the rare ES patient population, but is how our commercial operations are executing across many important dimensions. Our commercial team is adapting their efforts to stay engaged with our customers based on how they want to be communicated with and the uptake interest and enthusiasm for TAZVERIK in both ES and FL among academic and community physicians has been encouraging. As we continue to navigate complexities that the pandemic has created for our industry and the physicians and the patients that we seek to serve, I'm confident in our ability to execute on our launch plans and ensure that all eligible patients have access to TAZVERIK. I'm also confident in our ability to continue the clinical development of Tazemetostat in a range of additional indications and setting that we hope will allow an even broader group of patients to benefit. Tazemetostat represents the true pipeline and a product opportunity. We have an expansion program underway to investigate its therapeutic potential in early lines of therapy for FL, including several combination regimens with current FL treatments, as well as in other cancer indications. These trials remain on track. Thanks to the incredible effort to shift our clinical activities to virtual engagement with our investigators and their institutions. We remain well-positioned financially, with capital to support our commercial execution in ES and FL, the expansion of our clinical development program for Tazemetostat and the advancement of our early epigenetic pipeline through both our on research and our established collaboration. In short, 2020 has been our best year yet. I'm very proud of where we stand as we continue into the second half of the year. Let me now pass the call over to Matt to review our commercial performance. And then, Paolo will review our financial results. Matt?
Matt Ros: Thanks, Rob. The commercial organization is performing very well, using both personal and virtual engagement methods to engage physicians and execute our launch plans for ES and FL. While a small indication, commercial execution in ES was critical in positioning ourselves to successfully execute the launch of TAZVERIK to the larger FL market opportunity. As an oral at-home medicine, with a novel mechanism of action, and a demonstrated favorable safety profile that supports its extended treatment use, we fully anticipate that market adoption will continue to build in the quarters ahead. Today, it is clear that we're reaching ES patients and the physicians who treat them and that TAZVERIK is a welcomed treatment for a disease that prior to its approval, had no indicated therapeutic option and was associated with significant unmet needs. As of the end of the second quarter, we've generated $3.5 million in net product revenue for TAZVERIK since its launch in early February, positioning us to achieve the consensus estimate for ES product sales in 2020. A critical dimension to our plan is to ensure that market access to TAZVERIK is seamless, and that any barriers to access are removed. We have delivered in that regard with more than 90% of patient lives covered by insurance providers' to-date and approximately 370 medical policies have been initiated for TAZVERIK in ES. Additionally, we've been able to achieve prompt turnaround time to fill prescriptions to our specialty pharmacy with patients typically receiving delivery of TAZVERIK in less than seven days. This performance encapsulates our proficiency to serve this patient community quickly once the treatment decision for TAZVERIK is made. Turning to FL, with an approval at the end of the second quarter, we're now applying the same expertise in the initial phases of our launch. Our field based teams were prepared early, enabling us to hit the ground running. Within one day of approval, we initiated an engagement with the FL prescribing community sharing how TAZVERIK may be able to fulfill the substantial unmet need in the relapsed and refractory setting. The physician responses to our label in FL have been enthusiastic and we fulfilled our first FL prescription on June 25, just one week after approval. To-date, we've had multiple patient starts for TAZVERIK in FL and we expect to see steady traction in this new indication as our launch continues. As with ES, our commercial objectives for the FL launch are clear. First, is to rapidly generate awareness of TAZVERIK among the academic and community physicians who treat FL and ensure a positive first experience with TAZVERIK for both patients, and physicians. Second, is to ensure seamless access to TAZVERIK without any significant payor hurdles. And third, is to ensure that TAZVERIK is widely adopted by physicians as a treatment of choice for the relapsed refractory FL patients. To do this, we're leveraging all appropriate direct and virtual avenues to ensure our marketing and promotional tactics create enhanced customer engagement. Given that this is a disease that is largely treated in the community setting, our approach is focused on reaching and educating targeted community oncologists. We have developed a broad promotional speaker program and are partnering with KOLs to create champions for the brand. And we're engaging the patient and caregiver community through educational programming and patient advocacy initiatives. As the COVID-19 situation evolves, we’ll continue to adapt our approaches to reach and serve our customers. So far, our sales reps and medical science liaisons have been effective in their efforts to increase the recognition of the benefit TAZVERIK may provide to relapsed or refractory FL patients based on its established clinical efficacy and safety. Our approved label allows physicians to use TAZVERIK broadly across relapsed refractory follicular lymphoma patients. For those patients who have already relapsed on an anti-CD20 based chemo or immune-based therapy where physicians feel the alternatives aren't satisfactory, we believe that TAZVERIK can be a meaningful treatment solution. Based on our early efforts, feedback from treating physicians so far has been overwhelmingly positive. With support that the approved label allows them flexibility and that TAZVERIK is seen as a beneficial treatment option for relapsed or refractory FL patients regardless of EZH2 status. We have been able to engage with many of our academic and community customers, and the initial prescriptions that we have been seeing are being written consistent with the label. On the payor front, TAZVERIK was added to the NCCN guidelines just three weeks after our approval as a Category 2A option for relapsed/refractory follicular lymphoma with or without EZH2 mutation. This designation is particularly important because the payor community frequently turns to NCCN to support their medical policy development. Relapsed or refractory FL is not an actively managed category and payors in this space will typically rely on the label and NCCN guidelines to make policy determinations. It is important to recognize that the reimbursement process takes time and it can take 30 to 90 days for payor policies to be updated. So far, those that have been issued are consistent with our label and the guideline. The exceptional commercial progress made to-date is a direct reflection of our planning and commitment to making TAZVERIK available to the patients who have the potential to benefit from it and we look forward to providing more information as we garner additional in-market experience. I'll now turn the call over to Paolo to review our financial results.
Paolo Tombesi: Thanks, Matt. As Rob noted, we're in a very strong financial position today with many options available to further strengthen our balance sheet, if we choose to do so. Our financial results are detailed in our 10-Q filing, so I will summarize just a few points for you today. In terms of revenue, we called $2.2 million in TAZVERIK product revenue in the second quarter, primarily due to sales in ES, making for a total of $3.5 million net product revenue since launching in January of this year. On the expense side, our second quarter non-GAAP adjusted operating expenses were primarily comprised of $23.4 million in research and development expenses, and $27.1 million in SG&A expenses. Importantly, the final milestone of $25 million owed to Eisai was achieved with the approval of TAZVERIK for FL, which was covered by the third and final tranche of the $70 million loan facility with Pharmakon Advisor. There are no additional milestones owed to Eisai. In total, we incurred $50.9 million in non-GAAP adjusted operating expenses in the second quarter of 2020, which was in line with non-GAAP adjusted operating expenses of $45.7 million for the first quarter of 2020. As we look ahead, we expect our quarterly expenses will increase, as we realize the full extent of our launch activities of TAZVERIK for follicular lymphoma and continue our clinical development efforts with Tazemetostat with a fairly consistent split between R&D and SG&A expense. We continue to expect that our non-GAAP adjusted operating expenses for 2020 will be between $235 million and $255 million. Overall, we ended the second quarter with $322 million in cash, cash equivalents, and marketable securities which we expect will fund our planning operations into at least 2022, not including any potential additional collaborational revenues, milestone or business development activities. I'll now turn the call back over to Rob to wrap it up.
Rob Bazemore: Thank you, Paolo. As you've heard the first half of the year has been one of tremendous progress led by the launches of TAZVERIK with two cancer indications. Now we are focused on ensuring the success of these launches in the second half of the year. We're leaders in the development of epigenetic medicines, and look forward to sharing more with you in subsequent updates on TAZVERIK potential in other indications and combinations, as well as the progress we're making on our research pipeline. I'm incredibly proud of what the Epizyme team has achieved so far. And I'm excited for what the future holds for our company and for the patients, caregivers, and physicians that we hope to impact. Thank you all for joining us today. And we will now open the line for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Peter Lawson with Barclays. Your line is open.
Peter Lawson: Great. Thanks for taking my question. Just on the wild-type setting just where you're seeing usage in follicular lymphoma, I know it's kind of early but any sense around that would be great. Thank you.
Rob Bazemore: Hi, Peter, thank you for the question. This is Rob. Maybe I'll ask Matt to speak to what we're seeing so far early in the uptake of TAZVERIK in follicular lymphoma, Matt?
Matt Ros: Sure, thanks Rob. Good morning, Peter thanks for the question. The response to the label have been quite enthusiastic as we referenced a few moments ago, the first script was filled literally within a week after the approval. Two dimensions, I think that are important to comment on. First, both in the academic and community setting physicians have identified patients where they have already initiated a prescription or intend to initiate further use. And we've seen adoption thus far in both patient settings, so both in the wild-type mutation bearing population. So we're very encouraged by this, very pleased the overwhelming response to the label and its enthusiasm is something we're continuing to follow closely and will continue to update you in time.
Peter Lawson: Great, thank you. And then just in the sense of testing, how broad you see testing is each doing in follicular and just, how should we be thinking about that rolling out over the year?
Matt Ros: So, certainly as we've spoken in the past, testing is a dimension that physicians certainly participate within, with regard to the label, and how the feedback has come into the company in the context of how physicians will continue to behave. It's been quite frankly somewhat mixed, and not surprisingly so. Some physicians actually, those whom are in the academic centers are testing. But regardless of the testing dynamic, they see the value of TAZVERIK in both subtypes both new and wild-type patients. And then, in community, physicians may have an expectation or an interest in testing to set the right type of expectations with their patients but they're not waiting for the test results to prescribe the brand. So, this is very consistent with the behavior we observed in our market research before the approval, and it's certainly playing out as we've started our initial launch planning or launch work.
Peter Lawson: Should we expect a further EZH2 test approve to the year and traction of those in the community setting?
Matt Ros: Well, I think all we know about is another -- in terms of another mutation bearing testimony; we certainly know that the Roche test was recently approved and that's the latest news we have with regard to that.
Operator: Thank you. Our next question comes from the line of Yaron Werber with Cowen. Your line is open.
Yaron Werber: Hi, good morning. A couple of questions. Maybe, Matt, just to clarify, you mentioned that there's 390 ES medical policies have been put into place. What do you mean by that? And how does that translate into, are you just talking about on the coverage site linked with the 90% coverage.
Matt Ros: Yes.
Yaron Werber: And then secondly, yes, go for it.
Matt Ros: Yes. So the first answer would be yes. That's related just to the policy coverage around the 90% of the lives that we've seen in ES. I think the important component for us and for you as you think about just the continued adoption in ES is, we've been very, very successful in working with the payor community, they clearly understand the value of TAZVERIK and what it provides to the patient communities they serve, and we have had no barriers to access, which is critical as we pivot into the FL indication.
Yaron Werber: Okay. And then just a quick, one of you just remind us the gross to net discounts or what are you seeing in the market now and then I have one final question.
Paolo Tombesi: Yes, this is Paolo speaking, good morning. Sure, of course, it's too early to go into the clear details of that gross to net. What we have seen in our past experiences and seamless position to market is a gross to net in the range of 15% to 20%. We don't see in any case for us the need for a aggressive discount. So I think on regimen, you can figure out something around 12% to 15%. Clearly at the beginning, like in this quarter, so it's a bit higher because there are some fixed components that low sales still might have a little bit higher away, but overall, we are thinking about 12% to 15%.
Yaron Werber: Okay. And then are inventories within the normal range. And then finally, you mentioned that you're on track to hit the consensus numbers for ES, what do you view those to be?
Matt Ros: So from a product inventory point of view, we're in terrific shape. There's has not been stocking, bulk stocking, if you were to think about it in that regard. And as relates to the ES consensus estimates there are on and around $4.5 million to $5 million for the full-year of 2020.
Operator: Our next question comes from the line of Mohit Bansal with Citigroup. Your line is open.
Mohit Bansal: Great, thanks for taking my question, and congrats on the progress. So just a couple of quick questions. So, in terms of patients who have started on follicular lymphoma so far, could you please give us some kind of color in terms of what percentage of those patients are mutant versus non-mutant patients? Then I have a follow-up.
Rob Bazemore: Sure, Matt, do you want to start with the answer to that.
Matt Ros: Sure, good morning, Mohit. So it's a bit too early for us to give you that flavor. I think that what we feel most comfortable saying is that the enthusiasm around the label and its broad nature for both the mutant and wild-type population is bearing itself out. And as we continue to gain traction in the marketplace as we go into the third quarter, we'll be able to provide a lot more details as we see more prescriptions come into the community.
Mohit Bansal: So that makes sense. And then the other part is probably for Shefali as well as Rob. So Rituxan is actually main stay in the relapsed refractory follicular lymphoma even though your trials are going to R-squared formulation. Do you have any course on running the trial with Rituxan plus Tazemetostat at some point even if it is a investigator sponsored study and do you think what is -- what is the appetite of doctors to use this particular combo rather than R-squared plus Tazemetostat?
Rob Bazemore: Shefali, would you like to start, and I'll wrap now.
Shefali Agarwal: Sure. Hi, Mohit. Thank you for the question. So we do have a trial that is ongoing in rituximab, it's an investigator sponsored trial. It's ongoing and it's initiated. So as you know, we are trying to create value for Tazemetostat across the lines of therapy. So we have R-squared as you rightly said in second line, and our study rituximab in that and beyond. Additionally, we are also doing a study with R-CHOP in frontline FL with DLBCL. So we basically have R-based therapy in frontline, second line and also single-agent are in third line and it's in the third line and beyond.
Rob Bazemore: Yes. So basically, the other just to add on to that. And I think part of the strategy is that we would like to look at TAZVERIK combined with a number of the things that physicians typically use in these relapsed refractory patients and many of those we're doing as Shefali said through investigator initiated studies. That add to our work in the second line and the frontline which could be labeling indications, which is those we're doing much more closely as company-sponsored study. But I think the rationale for the R-squared study in the second line is we assumed that that would be the standard of care, it would become standard of care. And a part of the goal for achieving a label would be you have to show that you either add to or you're better than the standard of care in that setting. And that's why we chose R-squared for the confirmatory study, in order to be able to attain the second line label that we're looking for.
Mohit Bansal: And do you think doctors are willing to use Rituxan plus Tazemetostat rather than doing R-squared plus Tazemetostat, I mean is there any willingness to combine these two agents versus three agents?
Shefali Agarwal: Yes. I think if you look at clinically, physicians are combining with multiple agents. And that's why we are ensuring as offset that we have combinations with all these indications. I think as rituximab makes sense because that's how in follicular lymphoma people have combined therapies. But I think as Rob said, it's R-squared, it's other therapies as well that are used and that's why we are combining with all these products available.
Mohit Bansal: Great, that makes sense.
Rob Bazemore: Yes, Mohit, I think you just add to that. I think there is a desire for physicians to use that combination in fact the IST is an IST because it was an idea brought to us by an investigator who wanted to look at that combination. But also, I think it's why it's important to label that we have allow for the use of TAZVERIK in relapsed refractory patients, if the physician feels there aren't satisfactory alternatives because in many cases, either that combination or one component of that combination or other components of other combination drugs, physician feel may not be appropriate for an individual patient. And they may substitute TAZVERIK either as a monotherapy or in combinations where they would normally have used something else. That's why we were excited about the label because it allows that flexibility to the physician.
Operator: Thank you. Our next question comes from the line of Andrew Berens with SVB Leerink. Your line is open.
Andrew Berens: Hi, thanks. Most of my questions were answered. Hi, Rob, most of the questions were answered regarding genotyping and the available beta test to the community. Maybe just one I know it's early in the launch, but I was wondering if you guys are seeing a warehouse of relapsed refractory patients still waiting for approval of a novel follicular agent.
Rob Bazemore: Matt, would you like to start with that one?
Matt Ros: Sure, good morning, Andy. Thanks for the question. As a matter of fact, the answer to that is yes. As we initially in the launch, we've heard from physicians that they've prospectively been able to identify patients within their practice that they believe TAZVERIK is well suited for and certainly the timing and the adoption will be certainly following and we've seen some early successes. So that's something that we're going to continue to follow. But upon our engagement with the community, they've identified patients for the brand.
Operator: Thank you. Our next question comes from the line of Michael Yee with Jefferies. Your line is open.
Andrew Tsai: Good morning, this is Andrew Tsai on for Mike. First question, can you talk about how investors should think about the second half sales curve? I guess specifically, how much COVID could impact the launch in the second half in your view?
Rob Bazemore: Matt, would you like to start with that one?
Matt Ros: Sure. So we continue to see adoption and enthusiasm for the brand on new prescriptions and refills. We are going to continue to look as we look at the larger FL market, we're going to be working carefully and seeing how the communities open back up and allow access for our organization collectively. We've built plans to engage effectively with the customer both right now and in more of a virtual environment and in a face-to-face form. And as the COVID circumstances change, we expect that the engagement opportunity will certainly change as well. But we've built that type of flexibility into our promotional efforts to ensure that we can meet the needs of our customers.
Andrew Tsai: Great. And --
Rob Bazemore: And just as far as sales goes, I think to add to Matt's comment, we are pleased with where we are with ES, we think we're on track to hit our -- to the consensus for Epithelioid Sarcoma despite the COVID pandemic we've seen in the second quarter. The response we've seen to the label, the response that we've seen by payors, the NCCN guidelines, all of the key metrics and things that we put in place to help guide our understanding of whether or not this is going to be a robust uptake in the FL market and what we were trying to drive. As Matt has said, so far, all of the needles seem to be pointing in the right direction. So we're very encouraged by where we stand right now. And our focus is on executing this launch and making sure that whether we can accept customers face-to-face, as we're doing in some places, or we can't because there's still limitations to access that we're able to launch sort of effectively in FL.
Andrew Tsai: Great, okay, great. And actually I was just very curious, can you remind us of patients who have been prescribed TAZ as they need to come back to the center from time-to-time for follow-up, say like blood work, or is it's just a pure kind of patients can stay at-home, take the drug and no need for to travel to the center. Thanks.
Rob Bazemore: Maybe I'll ask Shefali to start with that one and then I can also add to it. Shefali?
Shefali Agarwal: Yes, sure. So I think the strength of TAZVERIK is the safety profile of the drug. And so you don't really require to have a regular checkup like what you would do with either IV therapy or other drugs that have a bad side effect profile and they have to ensure that there's a careful monitoring. A careful monitoring is not required for TAZVERIK, so you can actually stay-at-home and take the drug and basically that's one of the strengths of TAZVERIK and has to be used, effectively and conveniently at home.
Operator: Thank you. Our next question comes from the line of David Nierengarten with Wedbush Securities. Your line is open.
David Nierengarten: Thanks for taking the question. It's a little bit of a combination of a couple prior questions, but is -- do you have a sense right now of the patients who are being referred for therapy? In other words, are they being actively managed by community physicians or have they kind of ceased therapy and gone home. And then the doctor gives them a call and I'm just curious from the patient pool, are you seeing patients switching from active therapies or kind of a watch and wait or palliative care situation and then coming on board for their TAZVERIK treatment? Thanks.
Rob Bazemore: So this is Rob, I'll start and then I'll maybe ask, Matt, to add any details that I missed at. I think one of the insights that we had early on from the research is that there are a group of patients who opt out of treatment at every level of treatment based on either their dissatisfaction with the treatment or adverse events or just tolerability, but it's not the majority of patients. Our market research suggests that it's about 10% of patients where that happened. So that means that to your first question, the majority of the patients are being actively managed by their oncologists. So that's what we believe to still be the case. And in terms of the access to physicians, we've also been watching, as we've watched, what's happened with prescription volume through the COVID pandemic. Where we've seen that oncology probably has been hit the least in terms of reduced prescriptions. But of the policy prescriptions, it seems to be that the orals have been maintained the best and those specifically that targeted oncology therapeutics have held up very well through the pandemic. But we've also been looking at visits to physicians to the oncology community; we saw those were down a bit in the second quarter early on. It's hard to know if that was because of COVID or if it was because of holidays and vacation. But we've seen that even that seem to have normalized a bit. So we think that, again, these patients are being actively managed. And to Matt's point, the feedback we've gotten from the oncologists that we've called on and spoken to about the TAZVERIK approval, they are identifying patients in their practice that they can bring in who are ready for a change, either because they're progressing or because they're not tolerating their existing treatment very well. Matt, is there anything you would add to that?
Matt Ros: No, I think Rob stated it quite well. I mean our view again, very early in is that these are actively managed patients that the physicians have identified that TAZVERIK would be a suitable treatment option for them and we're helping facilitate that within the launch.
Operator: Thank you. I'm showing no further questions. I would now like to turn the call back over to Rob for closing remarks.
Rob Bazemore: Well, I would just like to thank you all for calling in today and thank you for all of your questions. We look forward to keeping you updated on our progress. And we hope you all have a safe and healthy day and have a great afternoon. Take care everyone. Thanks.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may now disconnect. Everyone have a wonderful day.